Operator: Good morning. My name is Scott, and I will be your conference operator today. At this time, I would like to welcome everyone to the Savaria Corporation’s Q2 2022 Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] This call may contain forward-looking statements, which are subject to disclosure statements contained in Savaria’s most recent press release issued on August 10, 2022 with respect to the Q2 2022 results. Thank you. Mr. Bourassa, you may begin your conference.
Marcel Bourassa: Scott, thank you very much. Hi, everybody. It's a pleasure for me to be here this morning. Happy to discuss our result of Q2. Our result of Q2 is exceptional, exceptional, because we make this budget okay at the end of '21. Okay. The war we're not speaking about. War okay everything was good, but there war happened, arrive okay, stress and materials okay, cost of a lot of things, the container on the labor side okay, some problem. So it's very exceptional that we can realize, okay what we arise in Q2 and I will say and Sebastien was telling me that okay that Q2, we can refer that at the new minimum level. Okay. So I am very happy that we see that we can be better. Okay. And I am very happy to hear with your question. And as usual I will refer that to my knowledge to the best. So can we go for the questions? Please. No, no, just a minute. Just a minute. We missed one thing. We have to have a bit about mathematic of Q3
Steve Reitknecht: Thanks Marcel and good morning, everyone. I am going to begin with some remarks regarding Q2 2022 consolidated financial metrics. For the quarter, the corporation generated revenue of $192.1 million up $13.4 million or 7.5% compared to Q2 2021. The increase was driven by strong organic growth of 9.7% and was somewhat offset by foreign exchange headwinds of 2.2% netting out to 7.5% growth overall. Gross profit and gross margins stood at $65.6 million and 34.1% compared to $59.9 million and 33.5% for Q2 2021. The increase in gross profit and gross margin was mainly attributable to customer price increases and better fixed cost absorption while still battling inflationary pressures and other supply chain constraints. Adjusted EBITDA and adjusted EBIDA margin stood at $31.5 million and 16.4% compared to $27.4 million and 15.3% in 2021. The increase in adjusted EBITDA dollars and adjusted EBITDA margin is due to improvements in gross margins previously mentioned and was somewhat offset by a decrease in Sue's [ph] funding received compared to last year. And now we'll move on to the segment results. Revenue from the accessibility segment was $136 million and increase of $5.2 million or 4% compared to the same period of 2021. The increase in revenue was mainly attributable to organic growth of 6.8%, which was offset by 2.8% revenue decline due to foreign currency impacts. The weakening of the Euro and pound overshadowed the strength in the US dollar versus the Canadian dollar. Our revenue growth was fueled by both the residential and commercial sectors and we continue to build our backlog. At June 30, our accessibility backlog is approximately 11% higher than it was at the end of Q1 2022. Adjusted EBITDA and adjusted EBITDA margin for the accessibility segment both before office costs stood at $25.9 million and 19.1% compared to $23.4 million and 17.9% for the same period in 2021. The improvements in adjusted EBITDA and adjusted EBITDA margin are mainly due to improvements in gross margins, driven by customer price increases and better fixed cost absorption. Revenue from our patient care segment was $43.9 million for the quarter, an increase of $7.8 million or 21.5% when compared to Q2 2021. Revenue growth included organic growth of 20.2%, which was driven in large part by pent up demand from the last two years of the pandemic and increased access to long-term care facilities, as well as customer price increases. Adjusted EBITDA adjusted EBITDA margin both before had office costs for the patient care segment stood at $6.7 million and 15.3% compared to $4.7 million and 12.9% `for Q2 2021. Large increase in adjusted EBITDA margin was mainly due to improvements in gross margins, which were driven by fixed cost absorption and customer price increases. Revenue generated from the Adapted Vehicle segment was $12.2 million, an increase of $0.5 million or 4% when compared to Q2 2021. Revenue growth of the Adapted Vehicle segment was driven by a 10.1% organic growth and was partially offset by foreign currency impact of 6.1% due to the weakening of the Norwegian krone versus the Canadian dollar. The organic growth was driven by increased ambulance and vehicle adaptations as well as pent-up demand from last year, which was delayed due to vehicle supply shortages. Adjusted EBITDA and adjusted EBITDA margin both the forehead office costs for the Adaptive Vehicle segment finished at $0.6 million and 5% respectively compared to $1.3 million and 11.2% for Q2 2021. The decrease in both metrics was mainly due to a reduction in sues and inflationary pressures on the supply chain, as well as delays in sourcing key materials. For the quarter, net finance costs amounted to $6.4 million compared to $5.4 million in Q2 2021. The increase is mainly due to a net foreign currency loss of $2.5 million in a quarter which was unrealized in nature. Interest on long term debt was $3.1 million in Q2 2022, compared to $3.4 million, excuse me, $3.5 million in Q2 2021 a decrease of $0.4 million. Net earnings were $8.1 million or $0.13 per diluted share for the quarter compared to $2 million or $0.03 per diluted share for Q2 2021. Adjusted net earnings, excluding amortization of intangible assets related to acquisitions reached $13 million or $0.20 per diluted share compared to $10.4 million or $0.16 per diluted share for Q2 2021. And this reflects an increase of 25.3% or $0.04 on a diluted share basis. Shifting gears and turning now to capital resources and liquidity. Savaria generated cash flows from operating activities of $14.7 million for the quarter compared to $14.4 million in Q2 2021. Earnings for the quarter was somewhat offset by an investment in working capital; capital, excuse me, inventory in particular and that's similar to what we've seen for the past three quarters in order to insulate our production and sales activities from continued supply chain constraints and challenges. As at June 30, 2022, Savaria had a net debt position of $380.1 million and was in compliance with all covenants. On a 12 month basis adjusted EBITDA basis, Savaria's net debt to adjusted EBITDA ratio was approximately 3.3 times, and this represents a 0.3 times decrease versus where we finished last year. Savaria has funds available of approximately $118 million to support working capital investments, CapEx and other growth opportunities. Looking forward, the current changing macro environments and movements in economic and political fields create uncertainties. However, considering our recent financial performance and our strategic integration plan with Handicare, we remain confident that for fiscal 2022, we will generate revenue in excess of $775 million with adjusted EBITDA in the range of $120 million to $130 million. And with that, this completes my prepared remarks. I'll turn the call back over to you, Marcel.
Marcel Bourassa: Thank you, Steve. Very good. I always interesting when we have good number, right? So we are quite excited to see what will bring Q3 okay and Q4, but as mentioned, Steve were very optimistic about the next six months. So we are ready for a cash question. Mr. Scott.
Operator: [Operator instructions] Our first question will come from Derek Lessard from TD. Please go ahead.
Derek Lessard: Good morning. Congratulations everyone on a really solid quarter given what's going on there. Steve, I did I had troubles logging in, so, I caught the end of your comments at the end of accessibility. I was just wondering if you could just maybe remind me of what the backlog looks like in that segment.
Steve Reitknecht: Sure. So if you remember Q1 on the call, we talked about having a record backlog and that backlog has increased again for Q2. Specifically it's gone up over 11%. So comparing Q2 to Q1, our backlog and accessibility segments up over 11%.
Derek Lessard: Okay. Thanks for that. One of the drivers of the organic growth and accessibility that you guys pointed to was Handicare. Could you just maybe add some color to that comment?
Marcel Bourassa: We had a good organic growth in the accessibility, but to be honest, it's a bit disappointed when the backlog go up and we're not able to achieve a double-digit growth. I guess the operation are not perfect. So still it's still. We're still working in a challenging environment. Still we could have a few more people in a different factory. The timing of the parts are not always coming on time. So we try again in Q3 to have a better organic growth, but differently, at least the good news is the backlog is there. So that's very positive. And I think, I would say it's pretty much the same from the elevator to the lift everybody can do a bit more on the earnings road.
Derek Lessard: Okay. And maybe just one last one for me before I re-queue, I'm curious are the benefits from the New Mexican facility that's supposed to open in September? Is that included in your in guidance and maybe just an update of what you're seeing in there?
Marcel Bourassa: So I would consider a bit like if you buy a new house key. So basically we're getting to get over September 01. So September, we are moving in and in Q4, we're going to start some operations, some light assembly. But as we said at the beginning, we are building capacity for the $1 billion for the future. So this year there's no expectation from the Mexican factory, but definitely when we do a budget season for next year, we make sure that the Mexican factory contribute, but again, to be great addition to get some new people, to have shorter lead time to bring from Asia, for us, it's an opportunity to rebalance our supply chain. So very positive.
Derek Lessard: Okay. Thanks for that, Sebastian, and again, congratulations and good luck.
Operator: Our next question comes from Nick Agostino from Laurentian Bank Securities. Please go ahead.
Nick Agostino: Good morning, everybody. Good morning, Marcel. I guess a couple questions for me specifically on accessibility. Just wondering now that we're seeing rate increases here in Canada, are you guys seeing any demand concerns on the residential market side of things specifically on elevators?
Marcel Bourassa: I think Nick; so far we have been quite lucky backlog has increased. So I think and right now, if you want to order home elevator, its more three months sleep time from Savaria, we used to be at three to four weeks sleep time. And after that, no, don't forget, it's not always new construction. There's a lot of units that goes in retrofit market and people still want to stay home. They did not forget the pandemic. It is much better, but it's not totally over and after that we are in many, many different countries. So different countries has different maybe economic scenario. So for now, okay for us is still very positive.
Nick Agostino: Okay. And just to be clear, when you say the backlog is up, that's specific to residential elevators,
Marcel Bourassa: That was accessibility, which is including a platform lift commercial with steady [ph]. So the old segment is up. And Nick, okay. We don't forget that this segment okay is on Savaria. So when we go with the end scale, these people like deliver growth almost overnight or very short term. So the backlog is not very important and for them. We don't know exactly the evolution of that, because it's not important, but for us throughout the backlog and he mentioned that. So I say when you have 400 elevators to manufacture, that's a real good problem.
Nick Agostino: Indeed. It is. My other question is I noticed in your press release, you mentioned as part of accessibility, you do call out the commercial market and I'm just wondering with more and more of a economies opening up around the world and certainly here in Canada and more of a push to get people back into the downtowns, how is that market doing for you guys relative to, before the pandemic and at the height of pandemic? How far back or how much have you been able to recover?
Marcel Bourassa: I think Nick, I would say that all the segment were up in booking. So including the commercial and I would see the commercial is almost back as the pre-pandemic level. So again, we have a three months lead time on some of the commercial elevator. So I would say that it's much, much better on that aspect. People are doing some project, they are doing some renovations. So I would, it's quite positive.
Nick Agostino: Okay. That's good to hear. Maybe two more quick ones first. Is there any way Steve, if you can call out, when you look at your organic growth of 9.5%, the total sales, any idea what that organic growth number would have looked like without the pricing increases that you guys have pushed through?
Steve Reitknecht: I think the picture is different by segment. So if we look at the accessibility segment the organic growth, there was almost 7%. And about half of that, would've thumbed from, from price increases and the other half from volume. The patient care side, it's probably closer to 5% price increases, 5% of the total 20%, hopefully that helps.
Marcel Bourassa: Okay. And then right now, if you want to order home elevator is more three monthly time from Savaria, we used to be at three weeks to four weeks lead time.
Nick Agostino: It does. It does. And then one last quick question on the adapted vehicle, it looks like you had some strong demand from emergency vehicles, so police and fire or ambulance. Is that something that -- is there more in the books when it comes to that segment from emergency vehicles?
Steve Reitknecht: Yes, there is. So that segment and that's specifically again, the business in Norway and they will continue to have a strong back half of this year. And they're about half of that entire business. So the Canadian business is about half and the Norwegian business is about half.
Marcel Bourassa: And after that, no, don't forget. It's not always new construction. There's a lot of units that goes in retrofit market and people want -- still want to stay home. They do not forget, the pandemic, it is much better, but it's not totally over and after that we are in many, many different countries. So we're seeing the strong backlog in the Norwegian side of the business. So that should continue through the back half of the year and actually quite into next year as well. So.
Nick Agostino: Okay. Appreciate that. I'll pass the line and
Marcel Bourassa: Nick, Nick, just a minute. I just want to mention that I think, it's not very -- it seems that okay. It's not very important. Growth and you will see difference of different countries as different maybe economic scenario. So for now for us is still very positive.
Nick Agostino: Okay. And just to be clear, when you say the backlog is up, that's specific to residential elevators.
Marcel Bourassa: That was accessibility, which is including this group in Q3. We're walking on that and we are lucky for the first time in my life. We have a booking that we have. So you will see into three and Q4 that the organic platform only with commercially. So the old segment is up. And don't forget that will be higher organic growth.
Nick Agostino: That's with the overall business.
Marcel Bourassa: Yes.
Nick Agostino: Yeah, Noted. Thank you.
Operator: Our next question comes from Frederic Tremblay from Desjardins. Please. Go ahead.
Frederic Tremblay: Good morning.
Marcel Bourassa: This segment okay is on Savaria. So when we go with the end therapy, okay, they -- these people like deliver, grow almost overnight. Or very short. So the backlog is that very important and for them. We don't…
Frederic Tremblay: First question is on inventory, just maybe comments on your level with your current inventory. I mentioned that it's been increasing for your just growth in a difficult supply chain environment. So you anticipate any initial investment into inventory, or we at that level, but comfortable here?
Marcel Bourassa: Sorry, Fred you're -- I don't, maybe it's your connection. That's not very strong, but I think your question was around inventory and, and the investment we made in Q2 and what that know exactly or you shouldn't have done there of that, because it's not important, but for us through the backlog, and he mentioned that. I say, but when you have 400 elevators to manufacture, that’s a real good problem.
Nick Agostino: Indeed. It is. My other question is I noticed in your press release, you mentioned as part of accessibility, you do call out the commercial market. And I'm just wondering with more and more of an economies opening up around the world. And certainly here in Canada…
Marcel Bourassa: Potential investment looks like for the rest of the year. Is that right?
Nick Agostino: Yes.
Marcel Bourassa: Yeah. So we did, we did see an increase in Q2. We saw that in Q1 and Q4 of last year as well. We're seeing that across all of our segments. So it's, it's in, I mean, to a small extent in the vehicle segment, but it's in the patient care and accessibility segments. Our expectation for Q3 and Q4 is to, I is to just have increases in inventory, in-line with revenue increases. So we won't see as this of a working capital increase in Q3 and Q4 as we did in Q1 and Q2.
Frederic Tremblay: Okay, great. I may be sticking with kind of the use of cash here. What's your expectation from the cap for the backup of the year, and I guess we read it to that expectations through?
Nick Agostino: And more of a push to get people back into the downtowns. How is that market doing for you guys relative to the, before the pandemic? And at the height of pandemic, how far back, how much have you been able to recover?
Marcel Bourassa: I think Nick, I would say that all other segments were up in booking, so including the commercial, and I would say the commercial is almost back as the pre-primary level. So again, we have a three monthly time on a -- some of the commercial elevator. So I would say that it's much, much better on that aspect. People are doing some projects; they are doing some renovations, so I would say it's quite positive.
Nick Agostino: Okay. That's good to hear. Maybe two more quick ones first, is there any way Steve?
Frederic Tremblay: Leverage declining as well?
Steve Reitknecht: So on the CapEx front, the CapEx expenditure year-to-date has been lower than our budget. We have -- we have one sizable project with regards to manufacturing straight stairs here in Brampton that that is underway. And we had planned for that expenditure in sort of Q2 to Q3 timeframe. So that will be coming in Q3 and Q4. So we will be back up to our level of…
Nick Agostino: Maybe if you can call out, when you look at your organic growth of 9.5% for total sales, any idea what that organic growth number would have looked like without the pricing increases that you guys have pushed through?
Steve Reitknecht: I think it; -- the picture is different by segment. So if we look at the accessibility segment the organic growth, there was almost 7%. And about half of that would've thumb from, from price increases and the other half from, from volume on the patient care side, it's probably closer to 5% price increases 5% of the total 20%, hopefully that helps.
Nick Agostino: It does. It does. And then one last quick question on the adapted vehicle, you, and it looks like you had some strong demand from the emergency vehicles, so police and fire or ambulance. Is that something that is there more in the books when it comes to that segment from emergency vehicles?
Steve Reitknecht: Yes, there is. So that, that segment and that's specifically again, the business in Norway and, and they will continue to have a about two and a half percent of revenue. You'll see, in the first half of this year though, we're below that because that large project is not coming until Q3; so full year, it should be back to that 2.5 range. Our leverage, we're going to; we saw a good decrease in Q2. We saw point 0.3 decrease versus year-end. We've been guiding towards a half a turn per year, and we're, we're well on track to achieve that. We know that Q1 wasn't as strong. So the fact that we're at 0.3 at a half year, we're, we're pretty happy with that. And we will deliver on at least half a turn this year.
Nick Agostino: Yeah, Great,
Steve Reitknecht: Strong back half of this year. And they're about half of that, that entire business. So the Canadian business is about half and the Norwegian business is about half and we're, we're seeing the strong backlog and the Norwegian side of the business. So that should continue through the back half of the year and it, and actually into point into next year as well. So…
Nick Agostino: Okay, appreciate that. I'll pass line. Last question for me just on the, the pricing side as you look through, your segments following the recent increases, do you envision having to announce other press increases in the near to midterm, let's say based on the current cost environment that you're seeing now?
Marcel Bourassa: You know, something I am very happy. I think that we were -- I think quite not quite aggressive, But quite realistic, about what happened okay, during this year; so we are very happy right now at the level that we are some of my division. I think, Where is not as on the ball. That’s just a minute. I just want to mention that. I think is not very, very it seems that it’s not very important. Our growth. And you will see difference of Savaria. But we're looking at that and we are just following and if it's like that, like today, maybe other part of Europe has to have some increase, I think, but I think we are already satisfied about what we do here in North America. So we will follow the flow. We are looking and we are always ready. But we prefer not to increase something when we are available, that we're satisfied that we are right now, but we, again…
Nick Agostino: Thank you. And congrats on the strong result.
Marcel Bourassa: I see.
Operator: Again, if you have a question…
Marcel Bourassa: This growth Q3. We're walking on that. And we are lucky for the first time in my life. We have a booking that that we have. So you will see in Q3, Entry four, that the organic would be higher organic growth. Thank you.
Nick Agostino: That's for the overall business?
Marcel Bourassa: Yes.
Nick Agostino: Yeah. Noted. Thank you.
Operator: [Operator Instructions] Our next question comes from Zachary Evershed, National Bank Financial; please go ahead.
Zachary Evershed: Thank you for taking my questions. If we dip into a recession, hypothetically, what's your outlook for the pace of organic growth at personal care, and what are you hearing from your larger clients in that segment?
Operator: Our next question comes from Frederick Tremblay, Desjardins. . Please go ahead.
Frederic Tremblay: Good morning.
Zachary Evershed: Right now?
Marcel Bourassa: You up.
Zachary Evershed: Yeah. Did you say personal care or patient care? I, I…
Nick Agostino: First question is on is on event or is just maybe comments on level with your current inventory. I mentioned that it's been increasing for few quarters’ growth in a difficult supply chain environment. So you anticipate any a initial investment into inventory, or we at that level that comfortable here?
Marcel Bourassa: So I, Fred you're, I don't, maybe it's your connection. That's not very strong, but I think your question was around inventory and, and the investment we made in Q2 and, and what that…
Zachary Evershed: Wasn't?
Marcel Bourassa: Karen.
Zachary Evershed: Oh, No so again, I can't, we don't have a crystal ball as it relates to, if or when we will be, or out of a recession. I think what we've seen; we can kind of speak to our backlog. We can see what our guys on the ground are saying we had a very good result, I guess, from a granted growth in Q2, it builds on, the strong past couple quarters that we've had. It's been rebound of spending. That's been driving that as it relates to recessionary spending, I don't necessarily a recessionary environment. I'm not sure necessarily that it'll have any, any large impact immediately on, on that business. I think right now people are still, trying to recoup some of the spending that wasn't Thank you?
Marcel Bourassa: Happen. Potential investment looks like for the rest of the year. Is that right?
Nick Agostino: Yes.
Marcel Bourassa: Yeah. So we did, we did see an increase in Q2. We saw that in Q1 and, and Q4 of last year as well. We're seeing that across all of our segments. So it's, it's in, I mean, to a small extent in the vehicle segment, but it's in the patient care and accessibility segments. Our expectation for Q3 and Q4 is to, is to just have
Zachary Evershed: Increases in the past. So there's kind of that rebound that we're seeing the budget dollars that are coming back towards capital equipment. And at the same time for example, there in Ontario, you, you saw just this past week where they're talking about kind of a crumbling healthcare system and, there's investments that are needed. So I think that's a, a more of a long term trend, so recession or not, I do think that there's going to be continued strong growth within kind of the healthcare infrastructure, which is good for our business, right. I mean, in terms of rooms, that's the, that's kind of how we measure the market rooms, again, being the bed, the bed frame, the mattress, the ceiling lift the sling. So that's what we're going after. It's kind of a package deal. And I, I, I feel very strongly about that. So there is no real concern on our part of any?
Marcel Bourassa: Sort and inventory in line with revenue increases. So we won't see ASIC of a, of a working capital increase in Q3 and Q4 as we did in, in Q1 and Q2.
Zachary Evershed: Okay, great. I may be sticking with kind of the use of cashier. What's your expectation with cap for the backup of the year, and I guess, related to that expectations to leverage declining as well?
Marcel Bourassa: So on the CapEx front then, the CapEx expenditure year to.
Zachary Evershed: Date sort of recessionary kind of head one in front of us?
Marcel Bourassa: Just add key that at Savaria, we are very lucky. For sure. I have, we have always to be A little bit. But when I start this company with my people, We are just for employee right now we're 2300 employee, but because we, okay, because we are there For the aging of the population. That's our objective. To help these kind of people, war, not recession, no recession that people need our products. So we are just very And we try to serve this industry as well, has been lower than our budget. We have, we have one sizable project with, with regards to manufacturing, straight stair lifts here in Brampton that that is underway. And we had planned for that expenditure in sort of Q2, Q2, Q3 timeframe. So that will be coming in, in Q3 and Q4. So we will be back up to our level of about two and a half percent of revenue. You'll see, in the first time for this year though, we're, we're below that because that large project is, is not coming until Q3. So full year, it should be back to that 2.5 range. Our leverage we're going to we saw has, we can do. So it's not maybe recession proof. But it is. And you see at the beginning of the comments, I'll say we do our budget Before The war. So imagine, And we are right on the spot Of our projection. So we can see if something changes. It's not resistant proof, but almost because it's the aging of the population.
Zachary Evershed: Excellent color. Thank you. And then we noticed that UK and other revenue dropped by quite a bit. Can you give us some color on what's happening there?
Marcel Bourassa: So we, we actually did see a good decrease in Q2. We saw point 0.3 decrease versus year end. We've been guiding towards a half a turn per year. And we're, we're well on track to achieve that. We know that Q1 wasn't as strong. So the fact that we're at 0.3 at, at a half year, we're, we're pretty happy with that. And we will deliver on at least half a turn this year.
Zachary Evershed: Okay. Great. Last question for me just on the, the pricing side as you look through, your segments following?
Marcel Bourassa: The reason decent, organic growth in, in our European market. But most of that was offset actually by, by FX headwinds, as, as I mentioned. So when we look at the accessibility segment, the, the overall organic growth O of 7%, we, we did see numbers in that range for, for the European business. I mean, we don't typically disclose at that level, but it was to my earlier point, it was, it was all more or less offset by FX.
Zachary Evershed: Gotcha. Then one last one, if I may do you think the current environment is good or bad for continued consolidation? And what are you hearing from peers in the industry?
Nick Agostino: Oh, increases, do you envision having to announce other press increases in the near to midterm, let's say based on the current cost environment that you're seeing now?
Marcel Bourassa: You know, something I am very That we were I think quite not quite aggressive. But quite realistic. About what happened? During this year. So we are very happy right now at the level that we are Some of my division. I think, We is not as on the ball. That something that's a good question. But we're always lucky here. We know that we're over one of the million that we can we can take a piece to make some acquisition. But we, we have some integration to do so first thing it's integration, but if we see something available on the market and as a, as you mentioned, Some is available on market. And we look at that Where we're a team. And we just want that to do what is the best for our shareholder.
Nick Agostino: Clear for me. Thanks. I'll turn it over.
Marcel Bourassa: Thank you. But we're looking at that and we are just following and, and if it's like that, like today, maybe at the part of Europe as to have some increase, I think, but I think we are already satisfied about what we do here in north America. So we'll follow the flow. We are looking and we are always Ready. But we prefer not to increase something when we are available, that we're satisfied that we are right now, but we follow again.
Nick Agostino: Thank you. And congrats on the strong result.
Marcel Bourassa: I see.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Marcel Bourassa for any closing remarks
Marcel Bourassa: First. Thank you. To the people are in the call this morning. We are very enthusiast at Savaria. But the growth of Savaria. And growth of our, our stock. Depend of the analyst. Thank you very much to take about the, to think about Savaria and the good work that you do To more people knew about The beautiful company that we are. So thank you very much and see you in three months.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.